Operator: Good day, ladies and gentlemen. Welcome to the Natural Grocers by Vitamin Cottage, Inc. First Quarter Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question and answer session, and instructions will be given at that time. As a reminder, today's call is being recorded. I would now like to turn the conference over to Ms. Jessica Thiessen, Vice President Treasurer for Natural Grocers by Vitamin Cottage, Inc. Ms. Thiessen, you may begin.
Jessica Thiessen: Good afternoon, and thank you for joining us for the Natural Grocers by Vitamin Cottage, Inc. First Quarter Fiscal Year 2025 Earnings Conference Call. On the call with me today are Kemper Isely, Co-President, and Todd Dissinger, Chief Financial Officer. As a reminder, certain information provided during this conference call contains forward-looking statements based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements due to a variety of factors, including the risks and uncertainties detailed in the company's most recently filed Forms 10-Q and 10-K. The company undertakes no obligation to update forward-looking statements. Our remarks today include references to adjusted EBITDA, which is a non-GAAP measure. Please see our earnings release for a reconciliation of adjusted EBITDA to net income. Today's earnings release is available on the company's website, and a recording of this call will be available on the website at investors.naturalgrocers.com. Now I will turn the call over to Kemper.
Kemper Isely: Thank you, Jessica, and good afternoon, everyone. Thank you for joining us for our first quarter call. Today, I will highlight our financial results, including key drivers of our performance, and provide an update on our initiatives. Then Todd will discuss the first quarter results in greater detail and review our updated fiscal year 2025 guidance. We are very pleased with the strong start to our fiscal year. Our first quarter results are accelerating growth and continuation of the two years, including broad-based growth across product categories and geographic regions. Moreover, comparable store sales growth has remained balanced between transaction counts, transaction size, and items per basket. We believe that many of our performance metrics are among the highest in grocery retail. Our daily average comparable store sales increased 15.1% on a two-year basis. Additionally, we have had eight consecutive quarters of positive transaction count comps and four consecutive quarters with both an increase in items per basket and modest inflation. Our sales growth in recent years and expectation for continued sales growth are supported by our differentiated offering. Consumers are increasingly prioritizing products that support health and sustainability, creating tailwinds for our business. Our offering of high-quality products at always affordable prices creates a compelling value proposition that customers recognize as distinctive within the marketplace. Robust and balanced sales growth combined with effective expense management drove significant operating leverage and generated a 26.5% year-over-year increase in diluted earnings per share. We believe our growth in fiscal 2025 and beyond will benefit from our close alignment with consumer trends, strong customer engagement through our NPower rewards program, expansion of the Natural Grocers brand products, new store development, and driving existing store productivity. During the first quarter, net sales penetration of our NPower Rewards program was 81%, up from 78% a year ago, reflecting continued positive trends in customer loyalty and engagement. Natural Grocers' brand products represent premium quality at compelling prices. In the first quarter, our branded products accounted for 8.9% of total sales, up from 8.5% a year ago, helped in part by new products. During the quarter, we launched 23 new Natural Grocers brand items that all meet our high standards for nutritional health and sustainability, including organic varieties of tomato sauce, pasta, and soup. During the first quarter, we relocated two stores and closed two stores. Subsequent to the quarter, we opened a new store in Brownsville, Texas. Store unit growth and development continues to be a priority for our company. During fiscal 2025, we plan to open four to six new stores and relocate or remodel two to four stores. Earlier this week, we released our fiscal year 2024 sustainability report. Since my parents founded the company in 1955, Natural Grocers has prioritized offering quality products at affordable prices, nutrition education, and caring for our crew and communities. We believe that grocery stores play a pivotal role in the food chain, a system that is essential to health and well-being. We choose to positively impact the ways that food in this nation is grown, raised, and sold. We aim to offer nutritionally sound, environmentally responsible products and prioritize vendors and farmers who are as passionate about human health, animal welfare, and the health of our planet as we are. Furthermore, we believe that our company's ongoing financial success demonstrates that a business model dedicated to offering affordable, high-quality, natural, and organic products can help deliver positive environmental and social impact while creating value for all of our stakeholders. In closing, I would like to thank our Good4U Crew for their commitment to operational execution and exceptional customer service. They have been essential to our sustained success. With that, I will turn our call over to Todd to discuss our financial results and guidance.
Todd Dissinger: Thank you, Kemper, and good afternoon. For the first quarter, net sales increased 9.4% from the prior year period to $330.2 million. Daily average comparable store sales increased 8.9% and increased 15.1% on a two-year basis. Our daily average comparable transaction count increased 5.3%. This marks our eighth consecutive quarter with positive customer traffic comps. Our daily average comparable transaction size increased 3.4%. The transaction size comp included an increase in items per basket of approximately two percentage points. We estimate that the transaction size comp also included modest product cost inflation of approximately one to two percentage points on an annualized basis. Importantly, this was the fourth consecutive quarter with both an increase in items per basket and modest inflation. Sales growth continued to be broad-based across product categories. Our strongest performing departments were dairy, meat, and produce. The dietary supplement sales comp was also positive. For the first quarter, gross margin increased 50 basis points to 29.9%, driven by store occupancy cost leverage and higher product margin. Store expenses increased 8.1% in the first quarter, primarily driven by higher compensation expenses. Store expenses as a percentage of net sales decreased 20 basis points, reflecting expense leverage. Administrative expenses as a percentage of net sales increased 40 basis points, driven by higher compensation and technology expenses. Compensation expenses included the cost related to our Chief Financial Officer transition. Operating income increased 23.6% to $13.3 million. Net income increased 28.1% to $9.9 million, and diluted earnings per share increased 26.5% to $0.43 in the first quarter. Adjusted EBITDA increased 21.7% to $22.8 million. Turning to the balance sheet and cash flow, we ended the first quarter in a strong liquidity position, including $6.3 million of cash and cash equivalents and $61.4 million available to borrow on our $72.5 million revolving credit facility. We had $8.9 million in outstanding borrowings on our credit facility. During the first quarter, we invested $9.4 million in net capital expenditures, primarily for new and relocated stores. Based on the strong start to our fiscal year, coupled with confidence in our business trends and execution, we are increasing our fiscal 2025 outlook for daily average comparable store sales growth and diluted earnings per share. Our revised outlook includes the following: four to six new store openings, two to four store relocations or remodels, daily average comparable store sales growth between 5% and 7%, an increase compared to our prior outlook of between 4% and 6%, diluted earnings per share between $1.57 and $1.65, an increase compared to our prior outlook of $1.52 to $1.60, and capital expenditures of $36 to $44 million to support our growth initiatives. Our outlook reflects the first quarter results and considers both the current operating momentum we are experiencing and consumer trends. Our outlook includes the benefits of our new store growth, targeted marketing focused on our value proposition, differentiation, and customer engagement, and operating initiatives focused on driving higher productivity in our stores. Our current expectation is that sales comps will be at the high end of our outlook range in the second quarter while moderating somewhat in the second half of the year as we continue to cycle relatively strong comps in the prior year. We expect modest inflation throughout the year, in line with current trends, although we acknowledge the uncertainty of the impact of possible tariffs. Our outlook anticipates that year-over-year gross margin will be relatively flat. Lastly, we expect that year-over-year store expenses as a percentage of sales will be relatively flat to slightly lower. In closing, we are pleased with the strong start to the fiscal year. We attribute our strong performance to the relevance of our differentiated business model, including the value proposition of high-quality products at always affordable prices. Now we would like to open the line for questions. Thank you.
Operator: We will now begin the question and answer session. If at any time, your question has been addressed and you would like to withdraw your question, please press star and then two. Our first question comes from Scott Mushkin with R5 Capital. Please go ahead. Scott, your line may be muted.
Scott Mushkin: Hey, guys. Sorry about that. It was muted. No problem. Yeah. So my first question is kind of how you left that you guys left off your prepared remarks. You obviously had a good amount of leverage on rent and gross margin. With the cost being so strong, what are the offsets as the year goes on that you would think gross margin would kind of be relatively flat? They would not improve. In other words, your gross margin rate would not move higher as you leverage the rent. But think runs through it.
Todd Dissinger: Hey, Scott. This is Todd. Yeah. We did see an improvement of 50 basis points in the margin. A significant percentage of that was related to store occupancy cost leverage and then some of that product margin improvements. Yeah. As we move forward, you know, as we have talked in our outlook, we expect that comps in the second half will start to lower as we, you know, will be at the lower end of our range as we start to cycle also pretty strong comps in the prior year. So we will see less benefit from store occupancy leverage. And I think, you know, obviously, a little bit uncertain as to the tariff environment and its potential impact on product costs. And so, you know, we are in a little bit of a wait-and-see situation.
Scott Mushkin: Got it. So, you know, appropriately conservative, I guess, is how I would know kind of think of how you guys are thinking about it. Is that makes sense.
Todd Dissinger: Yeah. I think that is a fair statement.
Scott Mushkin: I mean, I think the next question is my other questions are more longer term. Actually, before I get to that, I actually did have one kind of shorter-term question on free cash flow. I you know, there were some working capital movements there. You know, between the years, and I was wondering is it some timing things going on we think about free cash flow for the quarter?
Todd Dissinger: Yeah. It is all timing driven. It was predominantly accounts payable, and the timing of payment for goods and services.
Scott Mushkin: Okay. Okay. I just have that that is my last shorter-term one. So kind of on a longer-term basis, if we step back and look at the business, I think you guys are at 4% operating margin in the quarter. Obviously, your nearest competitor Sprout type of you know, much higher margin than you guys. What why cannot it continue to climb as you you know, assuming I always say assuming is not a good idea, but thinking is probably a better word that comps remain strong, maybe not as strong as they have been. You continue to increase the penetration of owned brands or, you know, your branded product as you continue to reap the benefits. So then power, like, why should not that just it is again, thinking comps can stay above the three to, you know, stay at three to four percent range, should that continue to rise, and is there a, in your minds, a limit to where it will go.
Todd Dissinger: Yeah. I think that as we continue to see sales leverage right. Sales expansion. As we move forward, we should continue to see some expansion in our margins. I mean, that is to be expected. Obviously, depending on unit growth of stores, that also will have some impact in damping down some of that expansion. But I think it is a reasonable assumption in terms of comparing it to comps, you know, that is a little bit of a different story as you know, we are very focused on product quality and affordable pricing. And affordable pricing is a competitive point for the company, competitive strength. And we know that, you know, we are priced lower than our competition. And so that will continue to have you know, as we stay true to our values, that will have some impact.
Scott Mushkin: Okay. I love that, by the way. Such a great answer. So then the final thing, Kemper, I think we talked about this before, like, you know, the last piece is, like, you know, I just got to be repetitive, but, you know, four to six stores, could you do seven to nine? You know, is that possible? Are you you know, is that anything that you thought about a little bit more you know, trying to get a
Kemper Isely: I think as we have said in our guidance, we are you know, this year, we are focused on four to six. Then next year, we are hoping that we will be able to that the pipeline will open up a little bit more and we will be able to do six to eight stores. And then going forward, that would be kind of the plan to do six to eight stores.
Scott Mushkin: Alright. Good. That is how actually, I do not know if there is anyone on the line. It is usually just me. So I really appreciate it. I am just going to say it one more time. I know you are not interested, but we would love to have a store in Florida.
Kemper Isely: Okay. Thanks, Scott. Florida is a little bit off of our path right at the moment.
Scott Mushkin: I just love the store so much. It is such a unique offering. I love the fact the way you price. If you were a consultant client of ours, I would say you are doing you know, and you are doing most things right. And I think it is great. Obviously, the trend is your friend right now. And, hopefully, I should not say that on a conference call, so I will not say that. But I was going to say something political a little bit, but I will not do that. But it looks like there is going to be an increased focus on healthy eating. How about if I just say that?
Kemper Isely: I think there will be. I agree with you.
Scott Mushkin: Which is and it will be to the benefit of this industry for sure.
Kemper Isely: Absolutely. Absolutely.
Scott Mushkin: Okay, guys. Thanks so much.
Kemper Isely: Alright. Thanks. You have a good have a nice afternoon.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Kemper Isely for any closing remarks.
Kemper Isely: Thank you for joining us. We believe that Natural Grocers by Vitamin Cottage, Inc. continues to be well aligned with consumer and category tailwinds, helping to fuel our new momentum and putting us in a strong position for the remainder of the fiscal year. Thank you, and have a great day. Bye.
Operator: First Quarter Fiscal Year 2025 Earnings Conference Call. You may now disconnect.